Operator: Good morning. My name is Jennifer and I'll be your conference operator today. At this time, I would like to welcome everyone to the Fourth Quarter Fiscal Year 2015 Earnings Call. [Operator Instructions]. Thank you; and Ms. Katharine Kenny, you may begin your conference.
Katharine Kenny: Thank you, Jennifer, and good morning. Thank you all for joining our fiscal 2015 fourth quarter and year end earnings conference call. As always, on the call with me today are Tom Folliard, our President and Chief Executive Officer; and Tom Reedy, our Executive Vice President and CFO. Before we begin, let me remind you that our statements today regarding the company's future business plans, prospects and financial performance are forward-looking statements that we make pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current knowledge and assumptions about future events that involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For additional information on important factors that could affect these expectations, please see the company's Annual Report on Form 10-K for the fiscal year ended February 28, 2014, a new one will be out shortly, filed with the SEC. Before I turn over to Tom, I just want to ask you all to remember to please ask only one question and a follow-up before getting back in queue, so everyone has a chance to ask a question. Thank you. Tom?
Tom Folliard: Thank you, Katharine. Good morning everyone, thanks for joining the call today. As you saw by now, we had both a record fourth quarter and a record fiscal year. During the year, total revenues grew to more than $14 billion and we sold nearly 1 million total vehicles, more than 591,000 retail cars and 376,000 wholesale cars through our in-store auctions. Here are some of the key highlights for the year; used unit comps, up 4% and total used units grew by over 10%. Wholesale vehicle gross profit, up 16%, driven by a 10% increase in units sold, and an increase in wholesale gross profit per unit of $54 per car. CAF income up 9% to more than $367 million, Tom will give some more details on that in a moment. Excluding the items we highlighted in the press release, net income for the fiscal year increased 16% and EPS grew 21%. Our data indicates, that for the calendar year 2014, we increased our share of the zero to 10 year old used vehicle market by approximately 5%. We also continue to focus on returning value to shareholders through our stock repurchase program. During fiscal 2015, we bought back 17.5 million shares at a cost of a little over $900 million. Since we began the program in fiscal 2013, we have purchased more than 30 million shares. Now on to some of the key drivers for the fourth quarter, used unit comps, up 7%, driven by an increase in traffic, as well as an improvement in conversion. Total used units grew by 12%. Wholesale gross profit, up 22%, reflecting a 12% increase in units sold, and an increase of $83 in gross profit per unit. GAAP quarterly income up 12% to $90 million, and again, excluding the items we shared in the press release, net income for the fourth quarter increased 20%, and earnings per share up 28%. With that, I will turn it over to Tom, and he will give you some details around CAF. Tom?
Tom Reedy: Thanks Tom. Good morning everybody. CAF recorded another solid year, with 9% income growth to $367 million, and growth in average managed receivables of 19%. As Tom mentioned, in the fourth quarter, CAF income was $90.4 million, up 12% compared to fourth quarter of fiscal 2014, and Q4 average managed receivables grew 18%, to $8.3 billion. CAF's weighted average contract rate, that rate that we charge to customers, was flat to last year's fourth quarter at 7.2%. This rate continues to be relatively stable, at around 7% for the past couple of years. The allowance for loan losses grew to about $82 million, this represents 1% of managed receivables, which is relatively consistent with last year but during the quarter and the year CAF income did benefit from favorable loss experience. CAF net penetration was 40.9% compared to 40.1% in last year's fourth quarter. This figure includes originations from our subprime test, and if you back out those originations, this quarter's penetration would have been 40.2%, which is similar to last year. Net loan dollars originated in the quarter rose 16% to $1.2 billion, due to a combination of CarMax's unit sales growth, our modestly higher penetration and a small increase in the average amount financed. Finally, we intend to continue with our subprime test. Recall that our primary goal for this investment, was to gain knowledge regarding this space, and we expect these learnings will prove invaluable. While performance to-date is in line with our expectations, we believe allowing the receivables to [indiscernible] deeper into their life, including maturing through a full tax season, will better equip us to assess our long term strategy. On average, the terms of these contracts is nearly 70 months, and at fiscal year end, the average time on our books for loans is less than seven months. We are comfortable continuing to originate at the current target volume which is 5% of CarMax's subprime sales or a little less than 2% of CAF originations. Tom?
Tom Folliard: Thank you. As far as mix of sales, sales of zero to four year old vehicles grew to approximately 75% of our total sales, the same as the third quarter by over five percentage points higher than last year's fourth quarter. Sales of SUVs and trucks as a percentage was similar to last year. SG&A for the quarter, increased approximately 11% to $330 million, contributing to this growth, was the addition of 18 stores, since the beginning of the fourth quarter of last year, and a $9 million increase in share based compensation expense. On a per unit basis, SG&A decreased $23 to $2186 compared to $2,209 in the fourth quarter of fiscal 2014. During the fourth quarter, we opened one store in our new Cleveland market, in Katharine's hometown. Since the fourth quarter, we opened two more stores, one in Minneapolis, a new market for CarMax, and one yesterday in Turnersville, New Jersey, which is part of our Philadelphia market. In addition to these two, we plan to open 12 more stores in fiscal 2016, plus the relocation of our store in Rockville, Maryland. In regards to our small format test, we have now opened five stores, and as a group, they are performing at or above our expectations. We expect the small format stores to be a part of our store openings going forward. Of our 14 store openings in fiscal 2016, there will be three small format, including our first small format front store, with full production capability in the back, and that will be in Gainesville, Florida. Also, we now plan to open between 13 and 16 stores annually over the next three years. Store traffic, was up once again in the quarter, and our web traffic also continued to expand. For the fourth quarter, average monthly web visits grew over 9% compared to last year's fourth quarter, to over 14.5 million visits, and visits to our mobile site now represent approximately 32% of the total, while visits utilizing our mobile app, represent another 16% of the total. And with that, we will open it up for questions. Operator?
Operator: [Operator Instructions]. And our first question comes from the line of Brian Nagel with Oppenheimer.
Brian Nagel: Hi good morning.
Tom Folliard: Hi Brian.
Brian Nagel: Congratulations on a nice quarter and a nice year.
Tom Folliard: Thank you.
Brian Nagel: So I have got just a couple of questions here; a question and then I guess a follow-up. First off, just a point of clarification, you mentioned the subprime test and the continuation of that test. So are you now planning to go above the prior stated $70 million size in the test? And then if so, how should we think about -- I guess there could be the new volume relative to that initial goal…
Tom Reedy: Hey, Brian, I am sorry if I wasn't clear, but I think in the release we say we did $72 million up to the end of fiscal 2015. So that's what we did through the year. What I said is, we are comfortable continuing at the same pace, which is about 5% of the subprime business that CarMax does. So if subprime continues to be a similar number of our sales as last year, it’ll be a similar pace of volume for us.
Brian Nagel: Okay. That's helpful, thank you. Also on this follow-up; also on the subprime business, if you look at not just what you originate but what your partners originate as well, any commentary there about the willingness of your partners to lend -- I guess couple of quarters, where we saw some type of disruption, just look a lot of rumblings of the market with what's going on out there. Are you seeing any shifts at all in the willingness of your partners to lend subprime based accounts?
Tom Reedy: Well I think, if you look year-over-year, we are at 17 versus 17.6 as a percent of subprime in the business. Last year's fourth quarter is when we really first started feeling any changes in behavior. And as I mentioned, I think on the last call, we have seen pretty consistent behavior out of our partners for the last several quarters. The key thing that we are looking at, is the quality of their offers, and what that translates into, just how many of the customers that receive offers from them, actually convert to a sale. Our subprime partners cannot control the nature of what's coming into them, because the tier-2 lenders are looking at it ahead of time, and have the first look at that. So on the basis of conversions of offers, we assume their behavior would be very consistent, and we are very happy with their performance.
Brian Nagel: That's very helpful. Thank you.
Operator: Our next question comes from the line of Sharon Zackfia with William Blair.
Sharon Zackfia: Hi, good morning. So I think, this might be -- in the press release you indicated you're doing 15 remodels this year, and one relo. And I don't really remember any remodeling program at CarMax; can you talk about kind of what you expect to do on the remodels if there is anything operationally that that will affect, or if it’s more cosmetic? And then the relo, just where is that, and is there the opportunity for more relos in the CarMax system?
Tom Folliard: Sure. So first of all, over our history, we have constantly spent capital on keeping our stores up-to-date and renovating them over time. Since we launched the next-gen concept, I forget, four or five years ago now, we have now gone back in, and we are applying some of those technology changes with some more digital screens and some digital capabilities in the store. As well as open seating, which we really had prior to next gen, but we think it’s a much more efficient use of floor space. And so the conversions are a little more extensive than they have been, because we are doing a combination of technology and converting, whether its cubes or offices into floor space, we just finished converting our Richmond store and it looks fantastic and that's the oldest store in the chain. I think we completed three or four of these types of conversions, and they're a little bit more expensive than the money that would have been spent. So we just thought we would call it out, and we plan to do another 17 this year. In terms of operational changes, it doesn't change much operationally, but I think it provides a better experience for our customers, and a better working environment for our associates as well. So we have been pretty pleased with what we have done so far, and we will gauge the results going forward, and see how much more aggressively we want to spend. In terms of the relo, that's our Rockville store; our Rockville store was originally a competitor who built a kind of a copycat. It’s a very small footprint. I think it’s only on five acres or so, and it has been a very successful store for us. This is just a situation where the lease was up for renewal, and we took the opportunity to move -- we are really only moving a short distance away from that store, to a much bigger facility, and that store has been very successful for us. But it was really undersized the whole time we had it. At this time, we don't have any other plans for relos, this one was just more opportunistic as the lease came up.
Sharon Zackfia: Okay, great. Thank you.
Tom Folliard: Thank you.
Operator: Our next question comes from the line of Scot Ciccarelli with RBC Capital Markets.
Scot Ciccarelli: Good morning guys. How are you?
Tom Folliard: Good. You Scot?
Scot Ciccarelli: Good, thanks. So I think the last couple of quarters, you talked about tier-2 becoming a bit more aggressive, in terms of their lending, and that was -- subprime penetration was starting to moderate a little bit. But subprime penetration has kind of rebounded, at least sequentially the last two quarters. Does that mean tier-2s pull back a bit, or should we just see that as more overall credit availability, when you look at the overall market?
Tom Reedy: Hi Scot, this is Tom. I think you’re better to viewing it as Tier-3 stabilizing versus reading anything into overall credit availability. Tier-2 is still doing very strong for us, and we said we are happy with our partners. We brought in some new partners, we have a really good diverse stable of finance partners in tier-2 and it’s performing well for us.
Scot Ciccarelli: Can you give us an idea kind of what tier-2 is going on penetration rate, kind of on a year-over-year basis Tom?
Tom Reedy: Clearly, what we have seen is something in a low 40s for CarMax auto finance, and we have said 20% to 25% gets financed outside the CarMax system, and the rest being kind of split between tier-2 and tier-3. I'd say that in the current environment we are looking at kind of the lower end of that 20% to 25% for other, and tier-2 and tier-3 are doing 35 -- we said tier-3 was at 17, so that gives you a pretty good flavor.
Scot Ciccarelli: Got it. Okay, thanks a lot guys.
Tom Folliard: Thanks Scot.
Operator: Our next question comes from the line of Craig Kennison with Baird.
Craig Kennison: Yeah, good morning. Thanks for taking my question. First, could you just give us the buy-rate, if you did not provide that in the quarter? And then second, related to your ad spending, it appears to have declined after four quarters of strong growth. How should we think about ad spending going forward, and what are your key priorities for marketing under your leadership there?
Tom Folliard: What was the first part again?
Craig Kennison: The buy rate?
Tom Folliard: Sorry. Buy rate was right around 30%, very similar to last year, and in terms of ad spend, we did a Super Bowl last year, we did not do a Super Bowl this year. So some of that -- most of the change is just the subtraction of Super Bowl year-over-year. But in terms of kind of a regular scheduled spend, it was in line with what we were trying to accomplish.
Craig Kennison: And any change in priorities, under the new leadership?
Tom Folliard: We are making a lot of changes, and we are evaluating how best to spend our money, but that will be an ongoing process for us. So continued strong effort on TV, we are pretty much out of print, and have been for a long time, and continuing to try to optimize our paid search, as well as trying to improve our SEO, our search engine optimization through organic search. And continuing to test using outside partners as well. So, you know, a similar mix, but we will see what happens going forward.
Craig Kennison: Great. Congratulations.
Tom Folliard: Thank you.
Operator: Our next question comes from the line of Matthew (sic) Fassler with Goldman Sachs.
Matthew Fassler: Good morning. It's Matt Fassler with Goldman Sachs.
Tom Folliard: Good morning Michael.
Matthew Fassler: Go figure. My primary question here relates to wholesale. So you had -- from what I can tell is, the highest level of wholesale profitability per vehicle you've ever had in the fourth quarter. You also had the biggest year-on-year increase in wholesale gross profit per vehicle that you've had in about five years. Just curious whether there is anything in the backdrop other than your stellar execution, that would lead to that kind of pop in the wholesale profit number?
Tom Folliard: First, thank you for calling our execution stellar. And you know, really good execution continues to build year-over-year. You're right, it’s the first fourth quarter we have ever had, that exceeded $1,000 in profit per car. We have had two first quarters that have done that in the past. But, as our reputation builds, it’s a great place for dealers to come and buy this type of product. I think our stores do a great job of marketing, and we are – it’s always a balancing act between wholesale margin and making sure we have a very strong buy rate. Remember, lots of the customers that are selling us these cars are also buying a car from us. So a good barometer for how fair we are being with our customers with our buy rate, which I just mentioned was very strong at 30%. So again this is -- wholesale is always at balance with retail. It’s never a standalone business that can be managed separately. You always have to pay attention to what's happening on the retail side. So I am really proud of the stores and how well they have executed. We have some stores that are particularly tight on space, and have to manage running -- some stores running two auctions a week out in California, and we have just started -- the stores have done a fantastic job of managing relationships and making sure we get great attendance. And that has lead to a great performance.
Matthew Fassler: Has the fact that prices based on some of the Mannheim indices have been particularly resilient, maybe that surprisingly so, kind of been part of the profitability story here, or would you say that it’s independent of that?
Tom Folliard: No, I think that's a factor too. And usually at this time of the year, coming out of the winter, you start to see some movement up in the Mannheim index, and we se that as well. So that's always a little bit of a tailwind for us, in terms of margin, when we see an appreciating market. I don't think it was up that much in the last report, but it’s typically a time of the year, when we see some appreciation.
Matthew Fassler: And then, just a follow-up and hopefully you will consider this a public service request, rather than a question. Just a little bit of color on the capitalized interest add back and just what that number is, why it would have looked different this quarter versus prior quarters?
Tom Reedy: Hey Matt, the only thing we'd really say about that, is it was a miss on our part. We are required to capitalize interest on construction projects and it netted against other interest expense. So as you saw, it was 8.9 in Q4, 6.9 of that related to periods before Q4 this year. Look back at other periods, and it made the determination that the impact is not material on any earlier period. So it’s just something we will be doing going forward, but it was a miss.
Matthew Fassler: So some of it shut up in prior periods, and you shut it here, it’s a catch-up if you will?
Tom Reedy: Yes.
Matthew Fassler: Got it. Thank you so much.
Tom Reedy: And that it all would have been in this year.
Matthew Fassler: Understood.
Operator: Your next question is from the line of James Albertine with Stifel.
James Albertine: Great. Thanks for taking the question, and congratulations as well. I just had a quick sort of housekeeping; I noticed your cash balance as one of the lowest you have had in quite some time, and in light of the store growth and the renovations and remodels and everything you're working from on that perspective. Is that something that's temporary or how should we think about that from the fourth quarter?
Tom Reedy: I mean, as far as the cash balance goes, I can kind of walk you through what we did this year. If you look -- we went through $600 million in cash plus took out a $300 million term loan, that's $900 million of stock buyback during the year was a little bit greater than $917 million. So what that means is, all the other spend that we had during the year, CapEx, needs for CAF and inventory, which again totaled another $900 million, were covered by cash flow in the core business. So as far as liquidity goes, I mean, we are in an environment where we feel pretty good about our banks allowing us to step up and live up to their commitments on our revolving credit facility, a $1 billion facility. We will manage with some amount of liquidity that we can run the business with. I think the decline in the cash balance was planned and deliberate, and the business is still generating lot of cash. And if you look kind of closely at it, it reflects that.
Tom Folliard: And we sought them in the past about moving towards a more optimal capital structure, so this is just us kind of delivering on stuff that we have already talked about.
James Albertine: Very good. Just a quick follow-up if I may; any thoughts on the Wells Fargo announcement with the capping of subprime loans; and if we start to see that elsewhere, how should we sort of think about that probably over the market? Thanks.
Tom Folliard: Yeah, I am always hesitant to talk about anything outside of CarMax with regards to subprime, because everybody thinks about subprime differently. And if you recall, Wells Fargo is not one of our -- what we call our subprime partners, but I am sure in the Tier-2 space, they originate loans that some people would define as subprime. So that's one thing; I mean, that's really an evidence of why keep a diverse stable of partners, to make sure that our customers have access to financing and access to give credit offers at all times, and I think we feel like we are in a pretty good shape there. Also historically, we believe that our partners have opted to direct volume towards CarMax, at the expense of other places, because they like the origination channel, the clarity of information and the knowledge about what the asset is really worth, etcetera. So we have observed in tough times before, that we felt we were less impacted than other folks. Who knows what that means going forward, but that's probably as much color as I can give you.
James Albertine: Good. Thanks again, and good luck.
Tom Folliard: Thank you.
Operator: Your next question comes from the line of Aram Rubinson with Wolfe Research.
Aram Rubinson: Hey everybody. Good morning and terrific results. Question for you on the technology, if it’s okay. I think you said your web traffic was up 9%, I know a lot of retailers have web traffic up a lot more than their own sales. And so irrespective of that, I am hoping you can give us a little lens or window into kind of technology, as you're using it incrementally to run your own business and enable sales; and also, maybe from the competitive standpoint, what you're seeing out there in terms of technology or apps or things like that, that might be causing any pressure down the road?
Tom Folliard: Thanks Aram. So we have used technology at our stores from the very beginning, and a combination of things, both for our associates and for our customers. So we employ a lot of use of data, and the ability to deliver that data back to our employees. At the moment, they need it to make good decisions. We have lots of ability to track customers through the process and make future decisions based on that. So I think we have done a pretty good job of utilizing technology in our stores, so that our associates can deliver a great customer experience. In terms of customer facing, it’s something that we continue to invest in and we will continue to invest in more, going forward. We want to make sure that we can communicate with our customers. However it is that they want to communicate with us. I have talked in the past about being a little bit behind in terms of mobile. We will continue to invest there. We have made lots of improvements over time to our pictures and the quality of our pictures. We used to take one to nine, we are up to around 40. We have high definition pictures, we have zoom capability, we have adjusted our landing pages to be more personalized, and we will continue to make some efforts in that regard as well. And I think you will see us do a lot more stuff, as it relates to mobile, and touch screen. Its -- more than 50% of our total hits to our web site are now coming from either a mobile device or a tablet, and its something that we need to make sure that the customer has a fantastic experience, if they want to communicate with us in that format. So those are the kinds of things we continue to invest in, and we have tested online capabilities, which is a lot -- you see a lot of niche-y type of things from various -- whether they're competitors, or people who enable our competitors; things such as online current applications which we are testing, the ability to transfer our car from one location to another, without speaking to our sales consultant; the ability to put a credit card payment down to have those cards transferred, which we are doing. You can go online and put a car on hold, you can make an appointment with our sales consultant. So we have done a lot of stuff, to make sure customers can do more and more of the process from home. They can fill out a good chunk of the paperwork before they show up at our store. But all these things, are the types of stuff that we need to continue to invest then. But I think we have made a lot of nice progress, but we got a long way to go.
Aram Rubinson: Sounds like you're not resting on your laurels. Thanks a lot.
Tom Folliard: Thank you, Aram.
Operator: Our next question comes from the line of Michael Montani with Evercore ISI.
Michael Montani: Hey, good morning guys. Thanks for taking the question. Just wanted to ask about productivity in terms of used units sold per dealership. And I guess, the way I was thinking about it is, pre-recession, you guys averaged about 4,800 units, which was well over of 4,000 of zero to four year old cars, by my math. Just looking ahead in coming years, we think the supply of zero to four year old vehicles is going to grow by about 25%, 30% over the next five or six years, and ultimately could drive a 10% to 15% tailwinded throughput. Can you just comment on that at all, about what maybe what some of the risks are to that, or if there's something that improvement missing? And then secondarily, I'd just love to get your thoughts around profitability on a dealership level, if you're able to get that kind of throughput, any structural impediments to retail EBIT margins going up in that environment?
Tom Reedy: First on your comment about throughput annualized of zero to four year old cars, we never adjust zero to four year old cars, we have always been zero to 10. So it’s a much broader spectrum of vehicles than you stated there. That number did change over time, as I stated in my comments; zero to four year old cars represent 75% of our sales, that was 70% just a couple of years ago, so it has moved by about five points. But you kind of have to look at a much broader spectrum of inventory to look at total sales fro CarMax. And it does look like, you would see a supply movement in zero to four, just base don movement in zero to four, just based on movement in SAR, and as I said before, we have historically had higher share in the zero to four year old segment. So is there a potential tailwind, probably, but the other factor there is consumer behavior, and will they trade out cars as much as they used to and you have population growth and new drivers and things like that. So there is lots of different variables and factors, and I don't think you can just say, we expect whatever the number you said, 20% or 10%, I forget what number you said there. But I don't think we can just expect that as an increase in sales. In terms of how do the stores handle it, we have been able to deliver exceptionally high volumes out of some pretty limited space in our stores, and all comp sales are more profitable than sales, once you've cleared all of your expenses. So it’s very-very profitable for the company to continue to deliver comp sales out of existing facilities, because a lot of your fixed overhead remains comp spending, really just have to add some variable overhead. So we are really pleased with the comps we delivered over the last couple of years. I think its one of the great parts of our business model, is that our stores continue to grow. As I said, we gained 5% share during the year, that's on top of a 17% share gain the year prior. But once again, that's over a zero to 10 year old car. So I think our stores are well primed to take advantage of supply increases as that translates to sales, and they are well positioned to turn that into better than average profits, because they are all on top of a base that's already covered fixed overhead.
Michael Montani: Thanks. Congratulations and good luck.
Tom Folliard: Thank you.
Operator: Our next question is from the line of Seth Basham with Wedbush.
Seth Basham: Good morning and thank you. My question is around comp sales growth. Tom, you spoke to traffic conversion driving the comp; maybe you can break that down, how much of it was traffic and how much was conversion? And related to that, what was driving the better conversion?
Tom Folliard: Seth, that's a good question. We get that frequently. It was roughly 50-50 in terms of conversion and traffic, and I always thought that over time, it will be 50-50. It doesn’t line up all the time, sometimes it all comes from conversion sometimes it all comes from traffic, this happens to be one where it maxed up. As we have looked at over a very long period of time and the way we think about it going forward is, I would like to be able to continue to increase traffic to our stores, and I'd like to be able to do better with the traffic that we have. And in terms of what are we doing to improve conversion, we have some really fantastic people in our stores that are dedicated and committed everyday to give the customer a great experience. We've tried to do a good job of providing additional training. Some of the stuff I talked about earlier in terms of technology as it relates to information and capabilities that our associates have, we have improved over the last several years, and plan to continue to improve going forward. So I really think it’s just a testament to our 20,000 dedicated employees in the stores who work really hard everyday to try to be more and more efficient, and give the customer a better experience. Hopefully, that turns into higher sales, and they in turn go and tell all their friends and become spokespeople for CarMax. It has worked for us in the past, and I expect it to keep working going forward.
Seth Basham: So [indiscernible] would you say there was any difference in the quality credit offers, or the credit availability that has affected the conversion trends over the last few quarters?
Tom Reedy: That's another thing that's constantly on the move. It’s a combination of what we do, a combination of what our partners do. I think Tom mentioned -- this was a relatively stable year, compared to some in the past, where we have seen some movements, whether its up or down from some of the lenders, we saw a big pullback during the recession, we saw some changes over the last coupled of years in subprime up or down. But this year has been relatively stable in terms of credit.
Seth Basham: Great. Thank you guys.
Tom Folliard: Thank you.
Operator: The next question comes from the line of Rick Nelson with Stephens.
Rick Nelson: How have franchise dealers have opened stores and your markets have -- you could comment there, the impact that they might be having, how you respond from a competitive standpoint and overall thoughts on those [indiscernible]?
Tom Folliard: Sure, thanks Rick. I know Sonic opened some stores in the Denver talking, and Asbury opened some stores in the Florida market. We are clearly more established in Florida, we have been there for a much longer period of time. Neither of those concepts have been open very long, so it’s very difficult for us to read any results or impacts at this time. When we have some, we will be happy to share it, but both of those concepts have been open for a very short period of time and I really can't comment on their performance.
Tom Reedy: I think Sonic has been open for less than six months, and Asbury has been open, I think around a year. So the stores are a little bit smaller than ours. Some of them are closer than others, but so far, it’s too early to comment.
Rick Nelson: In March here, you had talked about the move from zero to 10 year old bucket. Can you discuss where the gains are the biggest, and that sort of what your old bucket -- [indiscernible]?
Tom Folliard: You know Rick, I actually don't know the answer to that, I am not sure we are having that level of detail. We generally guess the whole market, you saw that we said it’s through calendar year this year. This is the data that we have bought, and the reason we have gone to yearly announcements is that data is very, I would call unstable in the short term. So we are pretty confident in the direction and the number, but in terms of dividing it very specifically, we haven't really done that.
Rick Nelson: Got you. Thanks a lot and good luck.
Tom Folliard: Thank you.
Operator: Your next question comes from the line of Bill Armstrong with CL King & Associates.
Bill Armstrong: Good morning guys. I see that your average selling price for retail was down about $600 sequentially. Is that a function of mix, or are you seeing maybe some decline in pricing trends? And related to that, when you're out -- you're buying cars at auctions, what sort of trends are you seeing right now, in terms of supply and price trends?
Tom Folliard: Yes. That's mostly seasonality. We see a seasonal drop in the fourth quarter. Really fourth quarter over fourth quarter our average retails were up slightly. So not really much there. If you look at our mix sequentially of zero to four year old cars, didn't really move very much. It did move from this year's fourth quarter compared to last year's fourth quarter, by almost five points, which would lead you to believe that may be prices would go the other direction. So I think it’s more just a seasonal movement and nothing really else to read into there. In terms of what we are seeing at the auctions, this is the time of the year, when we always see appreciation in the marketplace, if you look at the most recent Mannheim Index, there really hasn't been very much movement. But if we were just thinking of it as a normal year, we would come out of January and head into the spring and expect some appreciation in the marketplace, probably into early summer, and then we would see a normal decline through the fall, if this is a normal year. But we don't like to make a lot of predictions about where the market is going to go, I think we have talked in the past about our ability to adjust and move and adapt to whatever the market brings to us, and we plan our inventory on a weekly basis. So what we are seeing right now in the wholesale marketplace is not really out of line with what we would have expected.
Bill Armstrong: There is a lot of anticipation I guess of -- an influx of more supply of the wholesale coming from off-lease vehicles and trade-ins etcetera. Are you guys seeing a more plentiful supply when you go to auctions every week or not necessarily?
Tom Folliard: Not necessarily. I mean, remember to that, leases that are originated in, I think lease percentages, is that a pretty high flip right now, somewhere around 30% in the industry. We won't see those cars for two or three years, so I think a lot of people look at lease percentages and think, oh you're going to see a big influx of cars, when its really two or three years down the road. And what we have seen in the past, and we have been at this for 20 years, and we have seen lease percentages in the 30, and we have seen lease percentages in the teens. What ends up happening is eventually those cars end up available for purchase, and we have done a nice job figuring how to have access to them.
Bill Armstrong: Okay got it. Thank you.
Tom Folliard: Thank you.
Operator: And our next question is from the line of Ravi Shanker with Morgan Stanley.
Ravi Shanker: Morning everyone. Just a couple of questions. First, on the subprime pilot program. Just wanted to make sure that the extension doesn't really rule out a meaningful expansion of the program later, and can you highlight any specific areas that you feel need more time to evaluate versus what you were expecting earlier?
Tom Reedy: Let me address the first, I think as I said, the results to-date are in line with what our initial expectations were. This is a different asset class for us, so we are interested in seeing how it performs, because its new to us, we are willing to be patient and ensure that we understand it completely, before we understand it completely before we do any sales. It does not rule out us doing a larger amount in the future. But if you remember, when we rolled this out a year ago, we said that there was three things we are looking for, one is learning, which we are definitely getting on that, I see that's going to benefit our business, whether or not we are in this space. But the other was a risk diversification play, and we have three partners in a subprime space who are doing an awesome job. Any decisions we make will be contemplating the impact on them, and I would not expect us to ever intend to be a full player in this space like we are in the prime space.
Ravi Shanker: Got it.
Tom Reedy: Probably as much color as I can give you about where our intentions have been.
Ravi Shanker: Makes sense. And on competition, this is perhaps a more longer term strategy question, over the last 12 months, we have seen emergence of a few peer-to-peer user vehicle platforms that tried to pass on SG&A savings to customers, and show these new startups only in the few markets right now, but one can imagine them going after the high volume used markets first, where you and your peers already have a presence. So my question really is, what do you guys think about these new business models, versus the brick and mortar strategy in general?
Tom Folliard: You know, we look at every part of competition, and in terms of peer-to-peer, one thing to remember is, that is a huge chunk of the market already and always has been. About a third of all cars sold in the U.S. are sold from consumer to consumer. Whether you sell a car by putting a sign in your yard or you list it online or you just put it in the newspaper or whatever you do. So that has always been a third. One could argue that, that's where those sales could come from since they are already happen, and it’s just such a giant piece. It’s by far the biggest piece -- the biggest percentage of cars sold are sold from peer-to-peer already. A lot of what we do in our off -- when we make a cash offer to every customer on every single car, I think we probably have tapped into that as well as anybody by getting some of those cars that maybe would have been sold peer-to-peer. But its something we keep a very close eye on, and we will watch very closely and see if there is an opportunity somewhere for us.
Ravi Shanker: Got it. Thank you guys.
Operator: And your next question comes from the line of David Whiston with Morningstar.
David Whiston: Thanks. Good morning. On store openings, for the upcoming year, you have got definitely a skew towards existing markets over new, and I was just curious if longer term, are you going to look to focus more on growing existing over new/old or focus more on new later on?
Tom Folliard: You know, its an ever changing landscape for us, as we continue to get more data in existing markets, it gives us more comfort with going back into those markets. But we have a healthy mix of new markets as well, and one thing to take into account; when we go into a metro market like Philadelphia, Minneapolis, or this year, we will be entering Boston, those are intentionally multiyear plays for us to really grow out the market. So when you see us go back into Philly with Turnersville, New Jersey store this year, that's just part of the long term Philadelphia plan. It looks like a skew towards an existing market, but those are existing markets that are clearly understored, and we are not where we expect to be long term. So I expect it to be a mix going forward. Some of the big ones that we have, coming in the next three years or so, Boston, San Francisco and Seattle are places where we have no presents. And it has taken us, I don't know, 15 years to get to 10 stores in LA, and you will see us continue to learn more, figure out places where we are -- zip codes where we are missing, and then try to figure out the best storing pattern to go into those bigger metro markets. So I don't read too much into that, because as I said, some of it is just planned, because the markets are bigger and more stores are required to fill them out.
David Whiston: Okay. And on buybacks, it would be helpful for modeling if you could give any clarity on dollar spend for fiscal 2016?
Tom Reedy: We don't give guidance on anything. But you can look at our release last fall, and it gives you an idea of the scale that we have, intentions for the longer term.
Tom Folliard: But its also going to be a balance based on where we are trading, and what we think makes the most sense, and its something that we have a discussion with the board on a very regular basis and we have done with a programmatic fine schedule that we put a range around and we adjust it accordingly, based on the environment that we are operating in.
David Whiston: Okay. Thank you.
Operator: And we do have a follow-up question from the line of James Albertine with Stifel.
James Albertine: Great, thanks. Just wanted to sneak one more in; given the harsh weather on a year-over-year basis, you may have lost some day sales, and maybe mixed your comp with even stronger, in retrospect. But just wanted to maybe ask for your -- kind of your view on the weather if you will?
Tom Folliard: As you probably know James, we never like to use weather as an excuse, but it was really cold, and we did have a lot of stores closed, particularly in the back half of February. As far as attributing sales loss, we generally think we get it back, because when we are closed, everybody else is closed. It’s not like milk, if you didn't sell it, you didn't sell it, or a grocer. It’s such an infrequent purchase, where if we are closed, generally all the competition is closed as well. So I can attributed a specific sales loss to it, but we probably would have done a little better, if it wasn't so cold. We had a bunch of stores closed, particularly in the back half of February, but as I said, I think generally, we get those sales back.
James Albertine: Very good. Thanks again.
Tom Folliard: Okay.
Operator: [Operator Instructions]. And we do have a follow-up question from the line of Scot Ciccarelli with RBC Capital Markets.
Scot Ciccarelli: Hey guys, thanks for letting me back in here. Just a quick follow-up; with energy prices being such a major investor topic today, I am curious for a big ticket purchase like autos, have you seen any notable change in some of the energy centric markets, like Texas?
Tom Folliard: Well Scott, as you have learned over the years, we don't really talk about regional differences, so we are probably not going to start now.
Scot Ciccarelli: Is there any color you could provide on that, just because it does kind of indicate some sort of overall big ticket demand, even if it doesn't really -- directly to your business, just kind of changing behavior at all?
Tom Folliard: We didn't see much. S I mean, whether it’s regional or -- I feel like we had a really good quarter and a really good year. We have gotten a lot of questions around gas prices and is it potential that lowering gas prices would drive sales towards kind of SUVs and V8s and we really didn't see much of that either. So I think possibly because we have such a wide range of inventory, and we appeal to such a broad range of customers, that some of those impacts are muted with us, but who knows. I also think, in terms of gas prices, that people do not expect gas to be this cheap, and a car is a long term purchase. So although you might see some shifting, it really hasn't affected us as much as you might think.
Scot Ciccarelli: Got it. Okay. Thanks Tom.
Tom Folliard: We don't think prices are going to go back up. 
Scot Ciccarelli: Got it. Thank you.
Operator: Our next question is from the line of Rod Lache with Deutsche Bank.
Michael Levin: Hey guys, it’s Mike Levin on for Rod. Just wanted to see if you could discuss some of the factors that went into you guys getting increased confidence in raising your store growth plans over the next three years, from 10 to 15 to 13 to 16?
Tom Folliard: Sure. So if you recall coming out of the recession and getting back into a growth plan, we wanted to have a phase build-up. We wanted to make sure that we built up our infrastructure, and by infrastructure I mean, the ability to go out and source real estate, the ability to make sure that we provide experienced management into all these stores, where we spent a lot of dollars on relo, to make sure that first customer that walks in the door gets a great experience at CarMax, and our buildup over the few years, we opened three the first year, then five, then 10, then 13 for two years in a row. So this is kind of in line with continuing; as the base has also gotten bigger during that time. I think we have added 50 stores since 2011; increased the company size from 90-ish stores to 145 or so. And we opened 13 this year, and we plan on opening 14 next year, so it’s right in the -- just kind of in the range of what we delivered, and we wanted to give ourselves some flexibility. These are big complicated stores, sometimes one or two might slip in or out every year. So we'd like to put a range about it, but we don't plan on opening 10 anymore, so we are -- that's kind of the range we can deliver over the next few years. So its confidence and all the things that I talked about, and that's the reason we raised the range.
Michael Levin: That's great, and maybe just a follow-up; can you guys let us know how you're thinking about the pace of buybacks going forward with some of your increased capital plans?
Tom Reedy: I think we hit on that a little earlier. As Tom mentioned, I think our goal was to be in it programmatically. If you look at what happened in Q4, we bought back a fewer shares and spent less dollars at an elevated stock price. So we put some buffers on our program based on our estimation of valuation. But in general, we want to be in the market on a continuous basis, and programmatically move towards a capital structure that's got a little more leverage unit; and I think you will see that over the next couple of years.
Michael Levin: Great. Thanks guys. Congrats on the results.
Tom Folliard: Thank you.
Operator: We also have a follow-up question from the line of Michael Montani with Evercore ISI.
Michael Montani: Hey guys. Just wanted to follow-up on two things, one was inventory per store, which I had up kind of low double digits. So I was just trying to understand, how much of that might be anticipated build-out, as you increase the unit growth, versus like a desire to actually increased fill rates, and have more cars on the lot? And then secondly with CapEx going from $310 million to $360 million, can you just help to understand, how much of that is related to the remodels versus the new store acceleration and what the major markets are to spend there?
Tom Reedy: Sure. What was your first question again? Inventory, yeah. So inventory in the quarter was up -- remember last year, we were behind on where we wanted to be, so some of it is, I would call it an easy comparison, because we were behind on inventory this year. We did a much better job of building, and we also had a bunch of new stores. So a lot of times when you look -- when we are in a build mode, we get a car done and saleable, we make it saleable in a store that finished it. So some stores have elevated inventory in the anticipation of a store opening, when we ship the cars over to the new store. So if you look at our total sales increase for the quarter, I think it was 12%, and you would expect inventory to go up kind of commensurate with that number, and then we had another -- during the quarter, 7% of compass, and I know inventory is slightly higher than when you add those two things together, but that I think is more of a reflection of -- we are a little behind of where we wanted to be last year. And then your second question --
Michael Montani: On the CapEx side, just understanding the step-up year-over-year in CapEx spend, how much is related to the new store openings increasing whereas remodels and the major buckets of spend in the $360 million?
Tom Reedy: Yeah, the major buckets in the $360 million, roughly 80 of it would be on existing stores, 40 of that would be in normal maintenance, and the other 40 would be in the remodels that we talked about, and all the rest goes towards new stores. And remember, CapEx is always our best guess at the year. We have a lot of movement and a lot of timing during the year, particularly in new stores and new construction. So that's our best guess and what we will spend this year, and that's roughly the breakdown.
Michael Montani: Great. Thank you.
Tom Folliard: Okay. Thank you.
Operator: And we have no further questions in queue at this time. And I would like to turn the conference back over to our presenters.
Tom Folliard: All right. Thank you very much. Thanks everyone for joining us today. We appreciate your continued support, and of course thanks to all of our more than 20,000 CarMax associates all over the country, for all they do everyday to make CarMax such a success. Thank you guys. Talk to you next quarter.